Operator: Ladies and gentlemen, thank you for standing by. Welcome to the BOS First 2019 Results Conference Call. All participants are at present in a listen-only mode. Following management's formal presentation, instructions will be given for the question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, and will be available on the BOS website as of tomorrow.I would now like to turn over the call to Ms. Jen Belodeau. Please go ahead.
Jen Belodeau: Good morning and thank you for calling in to review BOS first quarter 2019 results. Management will provide an overview of the results, followed by a question-and-answer session. I will now take a brief moment to read the Safe Harbor statement. The forward-looking statements contained herein reflect management's current views with respect to future events and financial performance. These forward-looking statements are subject to certain risks and uncertainties that could cause the actual results to differ materially from those in the forward-looking statements, all of which are difficult to predict and many of which are beyond the control of BOS.These risk factors and uncertainties include amongst others, the dependency of sales being generated from one or a few major customers, the uncertainty of BOS being able to maintain current gross profit margins, inability to keep up or ahead of technology and to succeed in a highly competitive industry, inability to maintain marketing and distribution arrangements and to expand our overseas markets, uncertainty with respect to the prospect of legal claims against BOS.The effect of exchange rate fluctuations, general worldwide economic conditions, and continued availability of financing for working capital purposes and to refinance outstanding indebtedness, and the additional risk and uncertainties detailed in BOS's periodic reports and registration statements filed with the U.S. Securities and Exchange Commission.BOS undertakes no obligation to publicly update or revise any such forward-looking statements to reflect any change in its expectations or in events, conditions or circumstances on which any such statements may be based or that may affect the likelihood that actual results will differ from those set forth in the forward-looking statements.On the call this morning, we have Yuval Viner, Co-CEO; and Eyal Cohen, Co-CEO and CFO. I will now turn the call over to Eyal. Please go ahead.
Eyal Cohen: Thank you, Jen, and thanks to those who have also joined the call today. The press release we issued this morning contained a detailed review of the first quarter results and now out. So, I will not repeat on what was already written, but I want to emphasize a few points. First, I want to share with viewers the excitement of BOS and Imdecol employees following the integration.We are all working very hard together to ensure a smooth, fast and efficient integration. Regarding growth, BOS is well positioned to drive revenue and profitability by the following growth engine. Smart Factory through the acquisition of Imdecol that will be closed this week BOS entered into the global growing manufacturing automation vertical.Smart Stores through the strategic agreement with RFKeeper that was signed few months ago, BOS entered into the Smart Stores segment. Automatic Warehouses, we're expanding our offering to Automatic Warehouses, but in order to do a significant technological jump we might need to consume an acquisition.And last but not least, the continuing growth of Supply Chain division in the international market especially in India and in China is a significant growth engine from BOS.Now, I will turn the call over to Yuval. Thank you.
Yuval Viner: Thank you, Eyal, and thanks to those who have also joined the call today. To add to Eyal's comments, as we move through 2019, we are focused on integration Imdecol into BOS. To grow Imdecol revenues from customized industrial robots, the support global growth we will increase the investment in global marketing and we'll expand the number of sales rep in existing and in new territories.In the local market, we plan to increase the market presence by using BOS existing sales team. We are also working to improve the gross profit margin of the RFID and Mobile division by enhancing the efficiency of our operation, expanding throughout that offering and by increasing sales drive in certain product lines.Thank you and now for the questions.
Operator: [Operator Instructions] Please stand by while we poll for your questions. The first question is from Mike Hussey of Catamount Capital, please go ahead.
Mike Hussey: Hello, good morning. I had a question for you around your acquisition of Imdecol, if you could provide some color as to the geography, the current geography of Imdecol sales today and whether you plan to expand the sales into other regions, and also possibly if you could share some insight on the current customers of Imdecol? Thank you.
Yuval Viner: Thank you for your question. During the years 2017 and '18, about 50% of Imdecol revenues were outside of Israel. Imdecol works with agents, which promotes its robotic system for industrial customer around the world. Imdecol sells its robotic system through chain of sales rep around the world. The major territories are Australia, New Zealand and America.Recently, Imdecol appoint new agent in India and we plan to significant increase number of rep during the year mainly in Russia and in center of Europe. Just to clarify about some of the customers that we work with them today and along the years, we can mention CuBE, a Canadian -- a big Canadian manufacturer in the plastic environment, SNF, Australian one, one for the big one. Marcom, South African one, one of the biggest plastic and there is a long list of customers.
Operator: [Operator Instructions] There are no further questions at this time. Before I ask Mr. Viner to go ahead with his concluding statement, I would like to remind participants that a replay of this call will be available on the Company website at www.boscorporate.com by tomorrow. Mr. Viner would you like to make your concluding statements.
Yuval Viner: Yes. Thank you for joining us today. We appreciate the continued support of our shareholders and we are looking forward for our next call. Thanks.
Operator: This concludes BOS first quarter 2019 results conference call. Thank you for your participation. You may go ahead and disconnect.